Operator: Good afternoon. My name is Heather, and I will be your conference operator today. At this time, I would like to welcome everyone to the Workiva Q1 2015 Results Conference Call. [Operator Instructions] I will now introduce your conference leader, Adam Rogers, Senior Manager of Investor Relations. You may begin your conference. 
Adam Rogers: Good afternoon, everyone, and welcome to the Workiva fiscal first quarter 2015 earnings conference call. This afternoon, we'll begin with comments from Chairman and Chief Executive Officer, Matt Rizai; followed by Executive Vice President, Treasurer and Chief Financial Officer, Stuart Miller. And then, we'll turn the call over to questions.  Also on the line today are Martin Vanderploeg, President and Chief Operating Officer; and Mike Sellberg, Executive Vice President and Chief Product Officer. 
 A replay of this call will be available until May 12. Information to access the replay is listed in today's press release, which is available on our website under the Investor Relations section.  As a reminder, today's conference call is also being broadcast live via webcast. 
 Before I begin, I'd like to remind everyone that during today's call, we will be making forward-looking statements regarding future events and financial performance, including guidance for our second quarter and full fiscal year 2015. These forward-looking statements are subject to known and unknown risks and uncertainties. Workiva cautions that these statements are not guarantees of future performance. All forward-looking statements made today reflect our current expectations only, and we undertake no obligation to update any statement to reflect the events that occur after this call. 
 Please refer to the company's annual report on Form 10-K and the quarterly report on Form 10-Q for factors that could cause our actual results to differ materially from any forward-looking statements. 
 Also during the course of today's call, we will refer to certain non-GAAP financial measures. Reconciliations of non-GAAP to GAAP measures and certain additional information are also included in today's earnings press release. 
 And with that, we'll begin by turning the call over to our Chairman and CEO, Matt Rizai. 
Matthew Rizai: Thank you, Adam, and thanks to everyone for joining us today to discuss our first quarter 2015 results. 
 We're very pleased with our first quarter of 2015. First quarter revenue beat the high end of our guidance range. As Stuart Miller will discuss later in the call, we're raising our full year 2015 guidance. 
 Total revenue for the quarter was $35.2 million, an increase of 25% over Q1 of 2014, with subscription and support revenue up 27% and professional services revenue up 19%. Our growth was driven, in part, by addition of customers and seats for an increasing number of use cases in our non-SEC markets, including Sarbanes-Oxley compliance, as well as risk and management reporting. In particular, we're very excited about the continued momentum of Wdesk for SOX. 
 We also continued to gain market share in the SEC compliance market, where demand remains robust, because using Wdesk has become the best practice. In fact, we see an increasing number of new customers when Wdesk users change employers. 
 In addition, we're closing large initial contracts. In fact, in the first quarter of 2015, we signed our largest initial deal size to date. This new customer, a diverse financial services company and member of the Fortune 100, will be using Wdesk for SEC, SOX and management reporting for 7 entities. As with other customers, we believe that we still have significant room to expand this relationship in the future. 
 To strengthen our position in the SOX reporting market, in early April, we launched a new feature in Wdesk that allows SOX teams, for the first time, to digitally embed evidence in internal audit work papers. Wdesk users already have the ability to collect, link and share data and spreadsheets, documents and presentations. Now, with Evidence Management for SOX, they can digitally request, attach, mark-up and export supporting evidence alongside working documents. 
 Substantiating evidence is a big issue for companies and auditors because of the increased scrutiny from the PCAOB, the Public Company Accounting Oversight Board, which regulates audit firms. To give you an example of how Wdesk is used for SOX, a multinational energy company was using 600 spreadsheets and 2 costly manual processes for SOX control and sign-offs. The company moved to Wdesk and created 2 streamlined and automated processes. The efficiencies gained by using Wdesk for testing, reporting and certifying saved the company hundreds of hours. 
 Wdesk is also popular for risk reporting because it enables our customers to gather, aggregate and share their risk data efficiently across many different departments. Data linking, a key feature in Wdesk, is very important in risk reporting. Wdesk allows for consistent and automatic updates throughout all numbers and narratives in related documents. Users can control access to that information on a granular level, which improves accuracy throughout the risk reporting process. 
 Growing pressure on enterprises and their executives to mitigate risk is driving demand for Wdesk. Examples include comprehensive capital analysis and review reports and Dodd-Frank annual stress-testing reports to the Federal Reserve Board. Customers also use Wdesk to improve processes control and collaboration in recovery and resolution plans, which can be tens of thousands of pages long and rely upon hundreds of collaborators. In addition, Wdesk is used for internal enterprise-wide risk assessments. 
 On the management reporting side, we're seeing strong demand for Wdesk for a variety of use cases. For example, one privately held investment management company uses Wdesk to create more than 20 different reports for more than 100 mutual funds. This requires them to pull data from legal, internal audit, finance and human resources departments. With Wdesk, the team collects the data and then creates reviews, edits and distributes reports, all from one integrated version. The customer estimates that it saved 24 days per year while improving the quality and integrity of the entire reporting process. 
 As we have previously discussed, we grow our revenue by adding new customers and by expanding the use of Wdesk across existing customers. Expansion is driven by our farmer sales teams and by our very satisfied customers, who encourage coworkers to adopt Wdesk. A great example of expansion is how Wdesk has spread throughout a global power company that operates in 20 countries. They chose Wdesk for its ability to report to different regulators across geographic boundaries, collaborate across business units and make decisions based on real-time data. They began using Wdesk for SEC reporting and then adopted it for investor relations, as well as for human resources and global management reporting. They estimate that Wdesk has reduced the time spent on updating financial reports by 75%. Their human resources department used Wdesk to produce 35 KPI reports and has reduced that process from 3 days down to a few hours. A top pharmaceutical company that began filing its 10-Ks and 10-Qs with Wdesk quickly expanded Wdesk to 8 additional departments. Now over 60 users from legal, investor relations, research and development and other areas use Wdesk to report corporate earnings, streamline Section 16 processes and create a variety of internal management reports. 
 In summary, our first quarter was strong. Adoption of Wdesk continues to gain traction with new and existing customers, and our sales pipeline continues to build. We're excited about the multiple growth opportunities in front of us, and we remain focused on executing on our initiatives. 
 With that, let me turn it over to Stuart Miller. Stuart? 
J. Miller: Thank you. As Matt mentioned, our first quarter results exceeded our expectations, and we continue to see positive momentum in the market. 
 We generated total revenue of $35.2 million, an increase of 25% from the first quarter last year. 
 Broken down by reporting segment. Subscription and support revenue was $26.3 million, up 27.2% versus Q1 2014. 65% of the increase from S&S revenue came from customers added in the last 12 months. The balance was attributable to continued penetration of our existing customer base. The average contract value on subscription and support from all customers continued to increase. 
 Professional services revenue was $8.9 million, representing an 18.7% increase from the first quarter of 2014. As a reminder, Q1 is our seasonal peak for revenue from professional services, as customers that file on a calendar year schedule use our services to help them prepare 10-Ks and proxy statements. 
 Turning to our supplemental metrics. We ended the first quarter with 2,290 customers, a net increase of 297 customers from Q1 2014 and a net increase of 29 from Q4 2014. In the first quarter, we added 69 new customers and churned 40 customers. The majority of our churn came from smaller companies. Our subscription and support revenue retention rate, excluding add-ons, was 95.9% for the month of March 2015 compared with 97% in December 2014. Customers being acquired or ceasing to file SEC reports accounted for over half of the revenue attrition. With add-ons, our subscription and support revenue retention rate was 105.8% for the month of March 2015 compared with 104.1% in December 2014. The sequential increase in our revenue retention rate with add-ons reflects success by our farmer teams in selling additional use cases, such as Sarbanes-Oxley compliance and risk reporting, to our existing accounts. 
 Moving down the income statement, I'll talk about our results before stock-based compensation, in other words, on a non-GAAP basis. Please refer to our press release for a reconciliation of our non-GAAP and GAAP results. Gross profit was $25.7 million in the first quarter, up 21.8% from the prior year-period, and represented a gross margin of 73% compared to a gross margin of 74.9% in the first quarter of 2014. 
 Broken out by reporting segment. Subscription and support gross profit was $20.5 million, a 78% gross margin on subscription revenue compared to $16.2 million or 78.5% gross margin in the first quarter of 2014. Higher cash compensation for our customer success team accounted for substantially all the first quarter reduction in gross margin on subscription and support. 
 Professional services gross profit was $5.2 million, a 58.3% gross margin on professional services revenue compared to $4.9 million or 64.9% gross margin in the same period last year. The decline in our professional services gross margin reflected increased headcount and cash compensation. As we discussed last quarter, we decided to increase hiring and training of consultants in the second half of 2014, which allowed us to have a more sustainable utilization rate during our seasonal peak in the first quarter. 
 Turning to operating expenses. Research and development expense in the first quarter was $11.7 million, an increase of 22.6% from $9.5 million in the prior-year first quarter. The increase in our R&D expenses reflected additional staff to further strengthen and enhance our technology platform, as well as higher cash compensation expense. Sales and marketing expense increased 32.4% in the quarter to $13.4 million, driven by additional headcount, increased commissions and cash incentive compensation. We are on track with our plans to expand our quota-carrying sales team by 25% to 30% in 2015. In addition, we invested in advertising to improve market and brand awareness of Wdesk and Workiva, an activity that we plan to expand in the second quarter. General and administrative expenses were $5.4 million, an increase of 42.9% compared with $3.8 million in 2014's first quarter. Increased compensation and professional fees used to support our operations as a public company accounted for the increase in G&A expenses. 
 Operating loss is $4.8 million compared with an operating loss of $2.3 million in 2014's first quarter. 
 Net loss of $5.3 million for the first quarter of 2015 compared to a net loss of $2.6 million in the first quarter of 2014. Net loss per share was $0.13 in the first quarter of 2015 compared to $0.08 in the prior-year period. 
 Turning to our balance sheet and our statement of cash flows. At March 31, 2015, we had cash and equivalents of $89.9 million compared with $101.1 million at year-end 2014. Net cash used in operating activities was $9.2 million in the first quarter of 2015. I want to highlight 2 items in the cash flow statement: change in accrued expenses and change in deferred revenue. The $3.9 million use of cash leading to a reduction of accrued expenses reflected our payment of cash incentive compensation that was accrued in 2014, which I discussed on our last call. Change in total deferred revenue was $627,000 use of cash relative to year-end 2014. 
 I'll our break out short-term versus long-term deferred revenue. 
 Short-term deferred revenue increased $371,000. An increase of $2 million in short-term deferred revenue from subscription and support was partially offset by a seasonal decrease of short-term deferred revenue from professional services of $1.6 million. 
 Regarding change in long-term deferred revenue. As I previewed on our last conference call, we substantially reduced incentives for long-term prepayments from customers in order to capture more margin. As a result, long-term deferred revenue declined $1.1 million. We expect long-term deferred revenue will continue to decline in line with our policy. 
 In the first quarter of 2015, we invested $871,000 in capital expenditures, primarily for equipment, furniture, fixtures and leasehold improvements. 
 Turning to our guidance for 2015. Our guidance on non-GAAP loss from operations and non-GAAP loss per basic share excludes the impact of stock-based compensation. Please refer to our press release for a reconciliation of non-GAAP and GAAP guidance.  In the second -- for the second quarter of 2015, we expect total revenue to range from $32.8 million to $33.3 million. We expect non-GAAP operating loss to range from $9.3 million to $9.8 million. GAAP operating loss is expected to be in the range of $12 million to $12.5 million. We expect non-GAAP net loss per share to range from $0.24 to $0.25. And GAAP loss per share is expected to be in the range of $0.31 to $0.32. Our loss-per-share guidance assumes 40 million basic and diluted shares outstanding. 
 We are raising our guidance for the full fiscal year 2015 as follows. We expect total revenue to range from $140.5 million to $142.5 million. We expect non-GAAP operating loss to be in the range of $36 million to $38 million. GAAP operating loss is expected to range from $47 million to $49 million. Non-GAAP net loss per share is expected to be in the range of $0.90 to $0.95. Finally, GAAP loss per share is expected to range from $1.17 to $1.22. Our loss-per-share guidance for the full year also assumes 40 million basic and diluted shares outstanding. 
 In summary, Workiva had a strong first quarter from both a financial and operational perspective. Demand remains robust for our solutions, and we remain focused on executing our growth plan to capitalize on our multibillion-dollar market opportunity. 
 With that, we'll now take your questions. And operator, we're ready to begin the Q&A session. 
Operator: [Operator Instructions] Your first question comes from the line of Michael Nemeroff with Crédit Suisse. 
Michael Nemeroff: Just on the sales hiring, you mentioned that you're on plan. I was wondering if maybe you could just give us those absolute numbers and then also if you could just maybe touch on the productivity that you're seeing with the most recent hires as it compares to the productivity of last year's cohort. 
Matthew Rizai: Yes. Well, I believe that we had talked about 25% to 30%, that kind of translated into approximately, end of this year, having 130 to 135-or-so sales people. I think we're on target to be able to fulfill that, and that's number one. And number two is as we are hiring the new sales people, we expect them to take about 2 quarters before they become fully productive, and we see that is happening and we feel pretty comfortable with sustaining and enhancing our sales efficiency moving forward. 
Michael Nemeroff: That's great, Matt. And then on the new feature, the Evidence Management in the SOX product, what kind of a lift to ASP does that provide for the company? 
Martin Vanderploeg: Well, it's sold separately as a module, and we're going back to the existing customers who've already bought the SOX product and having success doing upgrades there. And then also it's a module you can buy for the new customers. 
Matthew Rizai: It's part of kind of a SOX package as we're putting it together, so that allows us to be able to get obviously more average deal size, both from an additional features point of view as well as a more seats point of view. And we had mentioned that SOX deals are quite a bit more than the SEC deals. So we think that with some of these enhancements for these packages, as well as more seats, allows us to be able to see larger deal sizes from the SOX side. 
Michael Nemeroff: That's great. And then one for Stuart, just touching on the gross margin this quarter, driven by much better-than-expected professional services margin than what I had in the model. Just curious, should we expect that type of margin going forward or an increase over what we previously expected? How should we think about the sustainability of that services margin going forward? 
J. Miller: So I'd say it would follow a similar pattern to previous quarters, which is that the peak gross margin from professional services would be in the first quarter. And because of just better absorption of that team, there's higher utilization of that team, in other words, but you won't see as high a gross margin from that team in the second, third and fourth quarter. 
Michael Nemeroff: That's helpful. And then, just lastly, Stuart, on the retention, excluding up-sells and with the up-sells, a little bit below what we were modeling. Just curious if there's anything anomalous to that figure that factored into that number. 
J. Miller: Are you talking about the 95.9%? 
Michael Nemeroff: Yes. 
J. Miller: Yes. So it was a pretty busy quarter for M&A. And as we pointed out, there were 40 logos that churned in the first quarter and that was -- almost 60% of the revenue loss from the group was related to M&A and delistings. So -- but they, fortunately, were from smaller companies who got acquired. 
Operator: Your next question comes from the line of Jennifer Lowe with Morgan Stanley. 
Sanjit Singh: This Sanjit for Jennifer. Quick question on the Sarbanes-Oxley and data collection and management reporting. Any metrics you can provide there? I know, last quarter, you had called out about 100 customers on the SOX side and about 100 customers on the data collection side. Maybe you can provide in terms of what the trajectory of how that looks in Q1 and how the funnel looks for the remainder of the year. 
Matthew Rizai: Well, the -- first of all, the sales funnel looks very good, very strong, and I think we are on our way to see a pretty good pace on the number of SOX customers we're acquiring. And I think we had done a press release on about 100 customers, SOX customers at the time that I think, periodically, we'll be able to do that, but we're definitely marching toward 200 pretty fast. 
Sanjit Singh: Okay. And then a quick follow-up on the hiring plans. I noticed that the headcount looked flattish. It looks like it's been flat for about a quarter or 2. So if you could you just sort of help me reconcile being on target on the sales side, but having overall headcount flat to slightly down this quarter. Is there any sort of changes in resource allocation going on in the company? 
Matthew Rizai: I think we're continuing to hire our sales people. I mean, there's always regular attrition that goes on in terms of overall company, but our focus has been more making sure that we're hiring in the sales organization more than any other group. And couple that with regular attrition, which is quite low, when you couple that, I think the numbers are still approximately steady like you've mentioned. 
Operator: Your next question comes from the line of Steve Ashley with Robert W. Baird. 
Jason Carver: This is Jason Carver on for Steve. I was curious, new logos, are you starting to land more outside of SEC multi-department deals? Are you still landing mainly in SEC, expanding later? 
Matthew Rizai: Well, first of all, the -- as you know, we've added the 69 new customers in the first quarter and quite a few of them were still from the SEC side. Just because as we're focusing on penetrating in the SOX opportunities, we do -- we have hired and have sales organizations that goes after new logos. They're pretty much newly hired folks, but we're also bringing quite a bit business from the existing customers. So overall, we have quite a bit of activities going on with our current customers that are not really reflecting on the new logos yet because the new logo hunter salespeople have been just hired last -- within last 6 months, and we expect them to start producing moving on from this quarter on. 
Jason Carver: And then one more question on some of the pending new products. I think issue manager, cash flow manager are still in the pipeline. Just curious, one, will those also be priced as new modules or add-ons similar to Evidence Management? And then two, do either of those have a greater opportunity for cross-sell into the installed SEC base versus outside SEC? 
Matthew Rizai: Martin, you want to answer that? 
Martin Vanderploeg: Sure. The task stuff, in terms of how it relates to the SOX stuff, is already incorporated in the Evidence Management module, and so we're already seeing the effects of that and it's included in the up-sell we already talked about. In terms of the SEC, we're doing a slight repackaging of what we call evidence collection more for support binders and -- so we'll see that cross over in third quarter where we'll start to see some pickup there. 
Operator: Your next question comes from the line of Tom Roderick with Stifel. 
Tom Roderick: Stuart, let me direct my first question to you here and thinking about the mix of the model on the revenue line as we look towards next quarter. I guess, last year, if I think about the seasonal downtick in professional services, knowing that Q1's a big XBRL tagging quarter, I think you were down roughly 40% or so quarter-on-quarter. Is that a reasonable framework for sort of structuring out our revenue build for next quarter? And how should we think about the seasonality of that line as we build out this model for the remainder of the year? 
J. Miller: So high level, because we don't really give guidance on the breakout, but, Tom, on a high level, I would say is that the mix is pretty similar, second, third and fourth quarter are similar to each other. And the overall mix for the year is probably 80-20 or 81-19. And so you can back into that what that would be given what we just posted for the first quarter. 
Tom Roderick: Perfect. Okay, that's good. Matt, my follow-up question for you here is just on the SOX compliance side of the picture. I think you referenced actually you having some different and new packages to sell that product within. And I was just hoping you could go into a little bit more detail as to how you're structuring those packages, and from the sales perspective, how you're incenting your existing sales force to sell this product. Are you leading with it to new customers? Is it predominantly an up-sell? What's the strategy to get that product out there in the marketplace right now from a sales tactical standpoint? 
Matthew Rizai: Yes. We have a sales distribution strategy with the sales organization that addresses that? Martin, you want to talk about how we sell the SOX to [indiscernible]? 
Martin Vanderploeg: Sure. First, to address the question about where we are going after these new logos, we actually have a team that still is focused on new prospects, in other words, new logo acquisition, both on the SEC and on the SOX side. We have a dedicated hunter team on both sides. As Matt referenced, the SOX team is fairly new. Most of them were hired late in the fourth quarter last year. That team's coming together very well and we're actually seeing quite a bit of synergy. The 2 teams are working together and we're actually getting a number of deals that are double, we get the SEC and the SOX at the same time. But that seems to gelling really well. And sometimes, we get in with SOX first and that leads to SEC. And sometimes, we get in with SEC first and that immediately leads to a contact with the SOX people. So it seems to be a really good synergy. In terms of our existing customers, our farmer teams, that is their #1 go-in to the customer with right now. Obviously, they continue to do their seat adds and other things around the external reporting process, but in terms of new solutions or new offerings -- or new use cases, pardon me, the big one was SOX and that is their focus. And we're seeing good traction, obviously, and early traction with the customer teams just because we have built-in reference there. 
Matthew Rizai: Mike, do you want to talk about the packaging of the SOX, how we're packaging and how we're selling it a little bit? 
Michael Sellberg: Yes. As we mentioned earlier, the new Evidence Management add-on is a per-seat add-on. So we will sell SOX seats to a team based on our current licensing, and then certain user personas on that team will need to buy that add-on for Evidence Management to manage that process around auditing, as well anyone that's a control owner will have to provide evidence. And so those are an additional add-on seat that goes with that, so that's kind of the up-sell opportunity within SOX teams. 
Matthew Rizai: And we also developed a workflow, like charts and capabilities like that, that's more relevant to the SOX organization, for example, right? 
Michael Sellberg: Yes, we are working on some additional dashboards and reports and dynamic views for the SOX process that will be coming out over the next couple of quarters. 
Matthew Rizai: And they all attract -- they're all packaged together so it's very attractive to SOX users, so that's how we kind of -- when we put together the SOX package, that has all those capabilities and some of these modules that we just talked about. 
Operator: Your next question comes from the line of Brian Peterson with Raymond James. 
Brian Peterson: I know you just launched the Evidence Management product in April so this is probably a little preemptive, but any early feedback you have from sales efforts there? And has that done anything to expand the pipeline of the SOX products? 
Matthew Rizai: Martin, do you want to answer that? 
Martin Vanderploeg: Sure. Affirmative on both. I mean, it's been very well received. It built a lot of excitement and it has contributed to the strong pipeline growth that Matt alluded to on the SOX product. It's really a key feature in the whole offering, no doubt. 
Brian Peterson: Okay. Good to hear. And just kind of a clarification. If I look at the seasonality of your customer adds, how should that track over the course of the year? Is the first quarter typically the slowest just because you have most of the 10-K filings? I thought that was the case, but just wanted to clarify. 
Matthew Rizai: Yes, that's true. Typically, almost all the financial professionals, it turns out, whether they're on SEC filing or SOX or otherwise, are pretty much bogged down doing their work both in January and pretty much, primarily, into February. So they really don't lift their heads up and look at and talk to people until March frame and before the quarter's almost over. So sales organization really does have a very tight window, short amount of time for them to engage with them. So it's always been the case in the past from a 10-K point of view. But moving forward, we see that financial professionals, the internal audit in SOX, are in a pretty much similar situation. So we expect that Q1 characteristics to continue moving on. 
Operator: There are no further questions at this time. I will turn the call back over to Matt Rizai for closing remarks. 
Matthew Rizai: In closing, I want to thank you for joining us today. Operator, you may now end the call. 
Operator: This concludes today's conference call. You may now disconnect.